Operator: Greetings and welcome to the Antero Midstream Second Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Mr. Justin Agnew, Director of Finance. Thank you. Please go ahead. 
Justin Agnew: Good morning, and thank you for joining us for Antero Midstream's Second Quarter Investor Conference Call. We'll spend a few minutes going through the financial and operating highlights, and then we'll open it up for Q&A. I would also like to direct you to the homepage of our website at www.anteromidstream.com, where we have provided a separate earnings call presentation that will be reviewed during today's call. Today's call may also contain certain non-GAAP financial measures. Please refer to our earnings press release for important disclosures regarding such measures, including reconciliations to the most comparable GAAP financial measures. Joining me on the call today are Paul Rady, Chairman CEO and President of Antero Resources and Antero Midstream; Brendan Krueger, CFO of Antero Midstream; and Michael Kennedy, CFO of Antero Resources and Director of Antero Midstream. With that I'll turn the call over to Paul. 
Paul Rady: Thanks Justin. Antero Midstream delivered another terrific quarter building upon the momentum generated in the first quarter of 2023. In my comments I will discuss the operational and capital efficiencies at both AM and AR. Brendan will then walk through the financial results that have put us on track to achieve our 2023 guidance. I'll start my comments on slide number 3 titled Drilling and Completion Efficiencies at AR. After a record-breaking first quarter operationally, AR has continued success during the second quarter. As shown on the top left portion of the page, during the second quarter AR completed over 11 stages per day. This is a 40% improvement compared to 2022, and over a 90% improvement compared to 2019. Drill-outs, which are the process of drilling out the plugs in each stage of the horizontal portion of the well exhibited the same success. Drill-outs averaged 4,250 feet per day during the second quarter a 9% increase compared to 2022 and a 50% improvement compared to 2019. These two factors have resulted in 65% shorter cycle times for AR compared to 2019 as shown at the bottom of the page. These cycle times reflect the number of days it takes to drill complete and place a pad to sales. Shorter cycle times equate to better capital efficiency and returns at ACCOUNT RECEIVABLES, which drives the ability to consistently develop its acreage position dedicated to AM. Now, let's move to slide number 4 titled Optimizing Compression and Processing Utilization. The top half of the page illustrates our compression capacity, including organically built compression in green and acquired compression capacity in blue. Historically, we have consistently maintained high utilization rates as a result of our just-in-time capital investment philosophy. The recent acquisitions have increased our compression capacity by over one Bcf a day, including underutilized capacity that will support capital efficient future development. Importantly, we valued our acquisitions in 2022 on a PDP-only basis. So any development on the systems or reuse of underutilized assets is upside for AM. The bottom half of the page, illustrates our joint venture processing capacity in the Marcellus shale. During the second quarter our JV processing capacity of 1.6 Bcf a day was 100% utilized, as a result of growth in the liquids-rich Marcellus shale. As a reminder, we can generally run approximately 10% above nameplate processing capacity providing additional runway for growth. One of the under-recognized aspects of Antero Midstream's business model is the coordinated planning effort with Antero Resources. For example, AR will be drilling two pads in the Ohio, Utica shale later this year. This will help manage overall infrastructure and provide attractive Chicago pricing in the winter months for AR. Lastly, I wanted to touch on our compression capacity relocation efforts on slide number 5. These relocation efforts result in capital savings for AM and peer-leading returns on invested capital. During 2022, we successfully relocated four underutilized compressor units to our Castle Peak compressor station to support growth in that area. Given the success of that relocation we are now in the process of relocating the remaining eight units on the East Mountain station over to our Grays Peak station, colored in blue. This station will be placed online in 2024. As you can see in the picture on the top right-hand portion of the page, we recently poured the foundations for the additional units that will be relocated to this station. Eight of the 12 units at the Grays Peak station will be relocated units from East Mountain, resulting in 120 million cubic feet a day of initial capacity. In summary, both AR and AM are displaying incredible operational and capital efficiencies in 2023. This supports a stable outlook and gives us confidence in achieving our long-term targets. With that, I'll turn the call over to Brendan. 
Brendan Krueger: Thanks Paul. I'll start my comments by briefly highlighting the year-over-year results on slide number 6, titled Operational Success Drives Earnings Growth. During the second quarter low pressure gathering and compression volumes increased by 11% and 17% respectively, compared to the prior year quarter. Of the 11% growth in low pressure gathering volumes approximately 5% was organic growth, on our legacy assets and 6% was attributable to the Crestwood acquisition that closed in the fourth quarter of last year. This double-digit throughput growth was the primary driver of our year-over-year adjusted EBITDA growth of 10%. Capital expenditures declined by 31% from the prior year quarter to $49 million this quarter. As a result of increasing EBITDA and declining capital, we generated $139 million of free cash flow before dividends and $31 million of free cash flow after dividends. This was the fourth straight quarter of generating positive free cash flow after dividends and the second highest quarterly free cash flow after dividends behind the first quarter of this year. Now let's move on to slide number 7, titled 10% year-over-year EBITDA Growth. To walk through the drivers of the EBITDA growth at AM, our gathering and compression EBITDA is shown in green, our processing fractionation and stonewall joint ventures are shown in purple, and our water business is illustrated in blue. As depicted on the slide, our gathering and compression business increased by $22 million year-over-year and our water business and joint venture distributions were approximately flat. As a result our 10% year-over-year increase in EBITDA was driven by our G&P business, which continues to be a larger and larger percentage of our overall business. In the second quarter of 2023, our gathering and processing business made up approximately 86% of our EBITDA and we see that growing towards 90% over the next several years as the cash flow from this business continues to grow. While making up just 14% of our overall EBITDA, our water business still has some of the highest project economics. This is a function of the short payback period of our pad connect capital investment particularly as the cycle times at AR continue to improve. I'll finish my comments on slide number 8 titled AM Checking All the Boxes. The first half of 2023 has been incredibly successful both operationally and financially for AM. Over the last year we expanded our business organically and through immediately accretive high-visibility acquisitions. Importantly these acquisitions have only added to our peer-leading return on invested capital in the high teens as we integrate them into our asset base and drive additional synergies. We have significantly derisked the business by transitioning to generate consistent free cash flow after dividends, which has totaled $77 million year-to-date. This has allowed us to reduce absolute debt and drive our leverage down to 3.5 times from 3.7 times at year-end as we progress towards our three times target in 2024. We believe these best-in-class attributes checking all of the boxes to be a premier midstream company position AM to increase our return of capital to shareholders in the future. In summary, we have made tremendous strides over the past year to drive growth while simultaneously derisking the business through absolute debt and leverage reduction. We look forward to the next several years as our EBITDA continues to grow, our free cash flow after dividends continues to expand, and our leverage continues to decline. With that operator, we are ready to take questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] The first question is coming from Brian Reynolds of UBS. Please go ahead.
Brian Reynolds: Hi, good afternoon, everyone. Quick question on just the guidance between the Antero families. It seems like AR raised its production by 100 Mcf per day and that seemed to be related to some noise around ethane and some cracker downtime. But I was curious if you could explain if this is no impact to AM and whether some of that was captured in AM's 1Q quarterly EBITDA guidance update? Thanks.
Brendan Krueger: Good question, Brian. Overall to your comments AM did increase guidance in the first quarter. AM was comfortable with the gross wellhead volumes, which what drives its EBITDA increasing. But for AR as you're probably aware, they guide on a net equivalent production basis. And so with the ethane volumes being risk further, they wanted to wait another quarter before providing an update on guidance. So, no change. Overall, I will say it is positive for AM in the sense that AR did guide to higher volumes and also talked about the fact that 2024 would be maintained at those higher volumes. So that is a new piece of information I think that would drive AM's 2024 volumes.
Brian Reynolds: Great. Super helpful. And then just a follow-up on just return to capital opportunities into 2024. You have a potential investment upgrade at the AR level, which could read through to AM. So, just kind of curious as we think about potential refinancing of those 2026 to 2029 bond maturities and how that could potentially impact the return of capital that works -- that is expected to come as AM trends below three times leverage next year? Thanks.
Brendan Krueger: Yes. No, I think as we look at the balance sheet for AM, you've got a couple of attributes there. You have the declining leverage to the three times level, which will be positive for its own balance sheet and investment ratings. And then you have, as you mentioned the AR credit rating. To the extent AR gets upgraded AM would automatically get upgraded. And then that combined with the momentum with the leverage reduction should improve the overall credit profile at AM. So, we'll continue to be patient watch the market on the bonds and we'll be opportunistic in terms of refinancing those bonds as they come due.
Brian Reynolds: Great. I’ll leave it there and [indiscernible] Thanks.
Brendan Krueger: Thank you, Brian.
Operator: Thank you. The next question is coming from Jeremy Tonet of JPMorgan. Please go ahead.
Elias Jossen: Hey, everyone. This is Elias Jossen on for Jeremy. Just hoping to get a little guidance for well completion cadence for the rest of the year across the water business, how should we thinking -- how should we be thinking about that in the near term?
Brendan Krueger: Yes. So I think overall we gave guidance for the year which was 75 to 80 wells serviced by the water business. You're at 45-ish in the first half. There are two to three wells that you'll see most of that impact. It started -- we based it on when you start the completion. You'll see most of that water impact though in the third quarter for two to three wells, and then the remainder of that 75 to 80 that would be in the second half. So it works out to be about 55% to 60% of the completions in the first half and 40% to 45% in the second half of the year.
Elias Jossen: Got it. That's helpful. Thanks. And then maybe moving to kind of CapEx through the rest of the year. I know you guys are guiding to a midpoint of about $190 million. And I know there's probably a little over $100 million less. So maybe just some more color on what's on the docket for the spend there? Any specifics would be helpful. Thanks.
Brendan Krueger: Yes. I think in line with historical levels typically you do -- you're able to invest more capital and build out in the summer months with better weather. So you typically see second quarter and third quarter being the higher capital levels and then see that trend off in the fourth quarter. So, I'd put that in the same ballpark this year in terms of how you get to the midpoint of capital guidance.
Elias Jossen: Great. Thanks. I’ll leave it there.
Brendan Krueger: Thank you.
Michael Kennedy: Thanks.
Operator: Thank you. The next question is coming from Ned Baramov of Wells Fargo. Please go ahead.
Ned Baramov: Hey, good afternoon. Thanks for taking the question. Just building on the previous question, can you talk about the impact to AM from AR's improved well productivity? I presume that will result in some capital efficiencies on the midstream side too, but I appreciate any additional details you can provide on your 2024 and 2025 CapEx program at AM.
Brendan Krueger: Yes. No, it's a great question. I think as you look at the capital program for AM, you have the benefit of the efficiency gains at AR, which leads to lower well connect capital needed on the AM side. You continue to have larger -- higher lateral feet per well on average each year. So that's beneficial to AM's capital program. And then the second piece that we've talked a little bit on past calls is just related to compression reuse. So you're starting to see more of that benefit and you'll see that play out particularly in 2024, with about $15 million of incremental savings related to that compression reuse that Paul talked about in his prepared remarks. So, excited about the capital program going forward. You should see '24 capital lower than '23 capital. And then on the volume side, just as a reminder again, the fee rebates are falling away on the AM side in 2024. When you combine that with the fact that AR is maintaining production at the higher levels, it equates to nice single to high single-digit EBITDA growth at AM as you move into 2024. So a great spot to be in for AM to have consecutive years of strong EBITDA growth and capital declining. Good spot to be in as we look forward.
Ned Baramov: Got it. And then the $15 million of CapEx savings on compression reuse, is that really the savings from compression relocation where -- versus the cost of building new compression?
Brendan Krueger: Well, it depends on how much -- how many units you're relocating. So, next year, you'll see $15 million. Overall, we've talked about a total number in the $50 million level on ability to reuse. And that's something we're always evaluating in terms of reuse of underutilized compression capacity into areas that need it. So, you'll see us update those numbers moving forward. But the total number is $50 million and $15 million of that you'll see in 2024. 
Ned Baramov: I guess as a rule of thumb, can you provide a number of what's the cost of relocating equipment versus the cost of building new equipment?
Brendan Krueger: So, we're relocating, call it 120 a day of compression capacity and saving $15 million. So I think that's probably a fair ratio to assume moving forward.
Ned Baramov: Got it. Very helpful. Thank you. That’s all I had.
Operator: [Operator Instructions] Our next question is coming from Gregg Brody of Bank of America. Please go ahead.
Gregg Brody: Good afternoon. Just was wondering -- I know you've had your disclosures on the Clearwater facility litigation, it's pretty clear. But I'm just curious if you could talk about how you -- how much -- what do you think the time frame is for this resolving? I know there's appeals possibilities, but I just wonder if you could frame it for us.
Brendan Krueger: Yes, Gregg, unfortunately, we can't really comment on the pending litigation outside of what we've already disclosed in the 10-Q. So, I'll just direct you to the 10-Q for our disclosures there.
Gregg Brody: I appreciate presentation. Thanks, guys.
Brendan Krueger: Thanks.
Operator: Thank you. At this time, I'd like to turn the floor over to Mr. Agnew for closing comments.
Justin Agnew: Thank you for joining today's conference call. Please feel free to reach out with any additional questions.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's event. You may disconnect your lines and log off from webcast at this time, and enjoy the rest of your day.